Operator: Good day, ladies and gentlemen, and welcome to the Trinseo First Quarter 2014 Financial Results Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. A replay of the conference call and transcript will be archived on the company's Investor Relations website shortly following the conference call. The replay will be available until May 14, 2015. I would like to welcome and turn the call over to Trinseo's Executive Vice President and CFO, John Feenan, who'll be conducting the call. 
John Feenan: Thank you, Karen. Hello, everyone. Good afternoon, and thank you for joining us to review our first quarter 2014 financial results. 
 Our agenda today is very limited. As many of you may know, we are in registration for an initial public offering of the ordinary shares of Trinseo, an indirect parent company of Trinseo Materials Operating and Trinseo Materials Finance. As a result, we are not able to provide any commentary on the results of the first quarter beyond what you have seen in the earnings release and the information in our quarterly report that we filed on May 14, 2014. As a result, we will not be conducting a question-and-answer session at the conclusion of this call.
 I will now briefly recap the financial results of the first quarter of 2014. Our net sales were $1.359 billion, down slightly from the $1.391 billion from the same period in 2013. This decrease of 2.3% is primarily due to lower selling prices, offset by higher sales volumes and a favorable currency impact as the U.S. dollar weakened compared to the euro. The overall decrease in selling prices was primarily due to the pass-through of lower raw material costs to customers, while the increase in sales volume was primarily due to the Synthetic Rubber segment caused by higher solution styrene-butadiene rubber sales to tire producers. 
 Adjusted EBITDA for the first quarter was $84.4 million, compared to $63.4 million for the same period in 2013. This increase of 33.1% was driven by higher margins from our styrene monomer production in our Styrenics segment in addition to other margin improvement initiatives and favorable market dynamics, driven by lower supply in Europe. Adjusted EBITDA is also higher in our Synthetic Rubber segment due to higher volumes of SSBR sales and higher margins driven by the favorable impact from inventory purchase timing, which was partially offset by higher fixed costs primarily related to the SSBR capacity expansion.
 In the first quarter, we had total liquidity of $630 million, down slightly from our liquidity as of December 31, 2013, of $633 million. Further, our total cash balance at the end of the first quarter was $139.1 million, and outstanding debt remained stable at $1.3 billion, with no significant borrowing activities during the first quarter and no borrowings outstanding from the revolving facility under our senior secured credit facility and accounts receivable securitization facility as of March 31, 2014.
 Looking forward, we will continue to drive a number of key initiatives, including continuing to emphasize EH&S and remain a top decile [ph] performer. Financially, we have an aggressive EBITDA target, and we are focused on managing fixed costs and capital spending to increase shareholder value. We remain focused on managing a lean organization with productivity improvements to at least offset inflation and help us keep lean for the long term. We will focus on potential further portfolio enhancements and continue our optimization work around networking capital and generating consistent and stable free cash flow.
 Thank you for joining today's conference call on Trinseo's first quarter 2014 results. And Karen, you can now disconnect the call. Thank you, all, very much. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a good day.